Operator: Good afternoon, ladies and gentlemen. Thank you for joining DocuSign's First Quarter Fiscal Year '26 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded and will be available for replay from the Investor Relations section of the website following the call. [Operator Instructions] I will now pass the call over to Matthew Sonefeldt, Head of Investor Relations. Please go ahead.
Matt Sonefeldt: Thank you, operator. Good afternoon, and welcome to DocuSign's Q1 Fiscal 2026 Earnings Call. Joining me on today's call are DocuSign's CEO, Allan Thygesen; and CFO, Blake Grayson. The press release announcing our first quarter fiscal 2026 results was issued earlier today and is posted on our Investor Relations website, along with a published version of our prepared remarks. Before we begin, let me remind everyone that some of our statements on today's call are forward-looking. We believe our assumptions and expectations related to these forward-looking statements are reasonable, but they are subject to known and unknown risks and uncertainties that may cause our actual results or performance to be materially different. In particular, our expectations regarding factors affecting customer demand and adoption are based on our best estimates at this time and are therefore subject to change. Please read and consider the risk factors in our filings with the SEC, together with the content of this call. Any forward-looking statements are based on our assumptions and expectations to date. And except as required by law, we assume no obligation to update these statements in light of future events or new information. During this call, we will present GAAP and non- GAAP financial measures. In addition, we provide non-GAAP weighted average share count and information regarding free cash flows and billings. These non-GAAP measures are not intended to be considered in isolation from, a substitute for or superior to our GAAP results. We encourage you to consider all measures when analyzing our performance. For information regarding our non-GAAP financial information, the most directly comparable GAAP measures and a quantitative reconciliation of these figures, please refer to today's earnings press release, which can be found on our website at investors.docusign.com. I'd now like to turn the call over to Allan.
Allan C. Thygesen: Thank you, Matt, and good afternoon, everyone. Q1 2026 was an important quarter in our long-term transformation. At our annual Momentum customer event, we announced an ambitious road map for DocuSign Intelligent Agreement Management, or IAM, the world's leading AI-driven agreement platform. We are delivering innovation to customers at the fastest pace in our history. Q1 financial performance was strong. Revenue of $764 million and 8% growth outpaced our expectations from additional IAM customers and self-serve digital revenue contribution. Profitability outperformed with operating margins improving by 1% versus last year to 29.5% and a strong 30% free cash flow margin drove continued share repurchases and supports our conviction to authorize an additional $1 billion in buybacks. As we transform DocuSign, we continue to make long-term decisions to drive accelerated growth. As discussed last quarter, in Q1, we made several foundational go-to-market changes to realize IAM's potential. Our full year guidance anticipated that these changes would lead to lower early renewal billings in fiscal '26 after Q1. Instead, the impact happened sooner than anticipated, resulting in lower Q1 early renewals. As a result, billings growth ended slightly below our guidance range of 4% year-on-year, an outcome of timing, not demand. Blake will discuss these dynamics and our financials in his remarks. We're proud of the progress made in Q1 across our 3 strategic pillars. Over 10,000 customers have purchased the DocuSign IAM platform. We have strong product market fit in small and mid-market customers and early promise with enterprise and self-serve organizations. And we continue to make progress evolving our go-to-market to drive efficient long-term growth. Starting with our innovation pillar, the IAM platform has become the fastest-growing offering in DocuSign's history, less than a year after its launch. Customers using IAM have processed tens of millions of agreements and continue to increase their engagement, especially through AI-generated dashboards and search in DocuSign Navigator, our intelligent agreement repository. In Q1, IAM usage increased significantly, thanks to UX improvements that better integrate Navigator with the e-Signature envelope management experience. The demand for IAM highlights the mission-critical nature of agreement management for organizations. In a new Deloitte report, 77% of business leaders cite agreement management as a key driver of outperformance. Attendance at our Momentum conference in April grew by 70% over last year with notable increases in partner attendance and executive level participation. The New York event kicked off a global series of 6 additional momentums across EMEA, APAC and Latin America. At Momentum, we shared our robust IAM platform vision and introduced a deep lineup of new AI-powered capabilities across the Create, Commit and Manage agreement life cycle. Within Create, Agreement Desk provides powerful workflow management for agreement reviews and approvals, streamlining tedious processes to accelerate deal cycles. AI-Assisted Review compares contract language to a customer's existing standard terms and identifies noncompliant or high-risk language, eliminating the need to review hundreds of contracts. An agreement prep standardizes terms and templates, applying the right language to every agreement to reduce risk. Within Commit, workspaces transform how customers collaborate with contracting counterparties by centralizing all documents, communications and tasks in a secure hub while protecting sensitive data. CLEAR identity verification will integrate CLEAR's biometric identity network with IAM, making ID verification as simple as snapping a selfie. Within Manage, custom extractions for DocuSign Navigator uses AI to automatically capture the data that matters most to customers, such as organization-specific agreement information or client-specific terms. Instead of spending hours or even days on manual review, customers get instant actionable insights. The obligation management dashboard transforms the company's scattered commitments into intelligence by surfacing renewal dates, payment terms and other obligations, helping maximize contract value and avoid penalties. These new features enable sales reps to close more business, procurement teams to stay on top of renewal dates and pricing changes and HR teams to onboard new employees more efficiently. At DocuSign, our own procurement and legal teams have reduced agreement search time by 90% by using IAM. AI- assisted review, workspaces and obligation management are available today. Most of the other capabilities will be available by August. Launch dates are published on our product road map. We also introduced DocuSign Iris, our AI engine purpose-built for agreement management that delivers leading LLM performance at a low cost per inference. Iris leverages DocuSign's unique agreement domain expertise built from millions of workflows and 2 decades of contract intelligence. Later in fiscal '26, we will deliver the industry's first purpose-built AI contract agents designed to accelerate workflows, reduce risk and achieve better outcomes across the entire agreement life cycle. You can see a demo of our agents in our Momentum keynotes. Within our go-to-market pillar, we continue to drive transformation across 3 integrated routes, now all selling IAM, direct, self- serve and partner. In Q1, IAM sales once again exceeded our outlook, and we remain on track for IAM to account for a double-digit percentage of our subscription book of business exiting Q4. Q1 direct customer IAM deal volume exceeded Q4, and we saw another significant increase in the percentage of new customers choosing IAM. International IAM deals were up over 50% from the last quarter, confirming the IAM value proposition resonates with customers worldwide. In fiscal '26, we continue to generate large-scale success with small and mid-market customers while driving initial enterprise conversations and early wins. ServiceTitan, the operating system that powers the trades and a long-time DocuSign customer is deploying IAM across legal, HR, sales and procurement using DocuSign Maestro to create time-saving automated workflows and DocuSign Navigator to gain greater insight into its business. As part of our growing strategic go-to-market partnership with Microsoft, we're delivering this IAM solution via the Azure marketplace. IAM is also off to a strong start in self-serve. The launch of self-serve in April resulted in nearly 1,000 new IAM customers within just 3 weeks, all through organic adoption prior to the release of any marketing campaigns. In Q1, overall digital revenue continued to grow at more than double the rate of overall revenue. We also implemented self-serve account management tools for our direct sales-driven customers, which improves their experience and our go-to-market efficiency. Efficiency gains from our rapidly improving self-service channel enabled us to make broader go-to-market changes in Q1, all with the intention of maximizing IAM's long-term potential. We migrated a meaningful cohort of customers to the self-serve first digital experience, freeing up our sales team to concentrate on higher-value prospects with greater revenue potential. Sales force changes included rolling out new customer size segments, territories and performance-based compensation. We're using our investment dollars judiciously. And in fiscal '26, we invested in greater sales capacity without expanding our team. Our initial annual guidance expected a lower rate of early renewals in fiscal '26 as reps increasingly focus on IAM expansion potential. We anticipated the impact to take place after Q1, but the reduction in early renewals began sooner than forecasted. This resulted in lower-than-expected early renewal billings in Q1. We take responsibility for not fully anticipating the timing of the shift in our guidance. Stepping back, we're confident these are the right long-term changes to build a more durable growth engine. We're pleased with how quickly teams adjusted as evidenced by strong IAM sales throughout the quarter and fewer early renewals without expansion. We're also encouraged that the fundamentals in the overall core business continued to improve in Q1. Gross retention and dollar net retention improved year-over-year, while envelope scent and customer contract utilization grew steadily. Also in Q1, we relaunched our partner program to focus primarily on IAM and enable partners to build business with DocuSign through specializations. At Momentum, we recognized outstanding partners that continue to grow with DocuSign. CDW, a leading multi-brand provider of technology solutions, achieved impressive triple-digit growth with us last year. Through our alliances with Deloitte and SAP, we have expanded our global footprint and recently closed a major opportunity with a Fortune 500 company in the energy sector. At Momentum, we also recognized customers delivering significant business impact on the DocuSign platform. Subaru of America significantly enhanced its operational efficiency and achieved substantial cost savings by digitizing its manual paper-based processes. Primerica reduced agreement processing time by 25% and contract turnaround from 15 days to 1. KPMG cut its average signature process from 5 days to less than 1, increased productivity by 30% and improved customer satisfaction. In closing, the road ahead is exciting. DocuSign is building on its leadership position to reimagine how organizations manage agreements through IAM. We have strong conviction in our strategy and the long-term business decisions we're making to drive acceleration to double-digit growth. In April, Newsweek named DocuSign the most trustworthy software company in America for the second year in a row. We believe that trust strengthens our ability to help our 1.7 million customers transform how they manage agreements. I want to thank the entire DocuSign team for their dedication and commitment to creating value for our customers. Now I'll turn it over to Blake to discuss our financial results.
Blake Jeffrey Grayson: Thanks, Allan, and good afternoon, everyone. Our primary goal in fiscal 2026 is to position DocuSign to drive long-term growth acceleration while maintaining efficiency. In Q1, we made continued progress against this goal and delivered solid business results. Highlights included accelerated IAM deal volume as well as continued year-over-year improvements in dollar net retention, customer usage and utilization and increased efficiency and profitability. While we performed better than our expectations across almost all of our key guidance metrics, including revenue and profit margins, billings came in slightly below our guidance range, driven by the timing of early renewals. In Q1, total revenue was $764 million and subscription revenue was $746 million, both up 8% year-over-year, including a 0.6% year- over-year FX growth headwind. Revenue outperformed our expectations on both the strength of greater digital and IAM contributions as well as from a few smaller nonrecurring items. Billings grew 4% year-over-year to $740 million with no FX impact year-over-year. Billings ended slightly below our guidance range due to lower-than-expected early renewals. Our billing results would have finished near the high end of our guidance range when excluding both the negative impact from early renewals and the positive billings impact relative to our forecast from FX. Billings renewal timing was impacted by the go-to-market changes discussed last quarter, including rolling out new customer size segments, territories and performance-based compensation. As Allan explained, these changes were foundational and focused on positioning DocuSign to realize accelerated long-term growth. Specific to billings, as described last quarter, our original fiscal 2026 annual billings guidance assumed a 1% year-over-year growth headwind from reduced early renewal volume. While we expected that impact to occur after Q1, the change in incentives led to a reduction in early renewals sooner than originally forecasted. Our sales team is acting as the program was designed. The health of early renewals in Q1 improved materially from the prior year. For example, we reduced the mix of early renewals that were flat or included partial churn by approximately 30% versus last year. Although the timing of early renewals has a negligible impact on revenue and does not reflect the long-term health of the business, we take responsibility for underestimating the potential timing and range of impact from the go-to-market changes. We will take a more conservative approach to forecasting the timing of early renewals for the remainder of fiscal 2026 in light of the go-to-market changes. Apart from the timing impact on billings, we are encouraged that fundamentals continue to improve in Q1. The dollar net retention rate increased slightly to 101%, in line with Q4 and up from 99% in Q1 of 2025. We continue to expect dollar net retention to moderately improve throughout the year based on both gross retention improvement and IAM upsell impact. IAM sales continued to show strong momentum with both IAM deal volume and revenue slightly outpacing our expectations this quarter. IAM's share of total direct deal volume, including upsell deals and new customer deals, increased meaningfully quarter-over-quarter, showing strength versus typical Q4 to Q1 business seasonality. This strength is underscored by passing 10,000 direct IAM customers in Q1, adding nearly 1,000 new IAM self-serve customers within weeks of launching that capability and the strong early ramp in international sales. Through Q1, we are on track for IAM customers to contribute a low double-digit percentage of the subscription book of business exiting Q4. The year-over-year growth in envelopes sent remains consistent with prior quarters and has continued through May. Customer consumption, a measure of contract utilization, increased in our direct business to the highest levels since early fiscal 2022, driven predominantly by increases in North America. We observed year-over-year improvements in consumption rate in nearly every direct customer size segment and major vertical for the first time in over 2 years. In Q1, total customers grew 10% year-over-year, surpassing 1.7 million. Continued strength in customer growth highlights the value of investing in diverse routes to market and geographies. Additionally, we believe that the breadth and scale of our customer base provide a strong foundation for the continued growth of the IAM platform. Large customers spending over $300,000 annually increased by 6% year-over-year to 1,123, down slightly versus Q4 given normal seasonality. We're encouraged that a low single-digit percentage share of the $300,000-plus base has adopted and begun to roll out IAM in their organizations. This will be a multiyear journey that builds on both product and go-to-market evolution. Digital revenue growth also continued its recent strength, benefiting from initiatives that make it easier for self-serve customers to manage and upgrade their accounts. Digital revenue grew at more than double the rate of the overall business in Q1, and we are cautiously optimistic that the launch of IAM should support future digital growth. International revenue in Q1 represented 28% of total revenue and grew 10% year-over-year or approximately 13% after adjusting for FX, which is similar to the prior quarter. Lower- than-expected expansion rates have impacted international growth, especially in EMEA. The IAM rollout, combined with new EMEA sales leadership creates a stronger foundation for future growth potential. For example, international IAM deal volume in Q1 grew over 50% from Q4 when we launched in most of our larger international regions. Turning to the financials. Our focus on operating efficiency initiatives drove strong results in Q1. Non-GAAP gross margin for Q1 was 82.3%, up slightly from the prior year as higher revenue offset the impact of additional cloud migration costs, which were slightly lower than expected due to the timing of migration efforts. As previously discussed, we continue to expect additional expenses associated with our cloud migration to impact gross margins throughout fiscal 2026 before easing in fiscal 2027 and beyond. Non- GAAP operating margin for Q1 was 29.5%, a 100 basis point improvement versus the prior year. The strength year-over-year was driven by higher revenue growth and prudent management of expense growth. We ended Q1 with 6,852 employees. This was up just slightly from the prior quarter and 6% from the prior year due to investing in our team, particularly in R&D, including the acquisition of Lexion. Our hiring approach remains strategic and consistent, ensuring alignment with key initiatives while thoughtfully considering location based on cost and necessary skill sets. Our non-GAAP operating expense growth in sales and marketing and G&A areas were both lower than the total company, while R&D grew faster with continued investment. In Q1, we generated $228 million of free cash flow, a 30% margin. We expect that annual free cash flow margin will approximate non-GAAP operating margin for fiscal 2026. Our balance sheet remains strong with over $1.1 billion in cash, cash equivalents and investments. We have no debt on the balance sheet. Subsequent to quarter end, at the end of May, we secured a new $750 million credit revolver to replace our existing revolver agreement, creating additional capital capacity and flexibility. We continue to use our demonstrated strong free cash flow generation to return capital to shareholders. In Q1, we repurchased $183 million of stock through share buybacks, bringing our cumulative buyback over the past 12 months to over $700 million. With the additional $1 billion buyback authorization announced today, we now have up to $1.4 billion in repurchase authorization available for deployment, and we expect to continue opportunistically repurchasing shares as part of our capital allocation strategy. Regarding the cost of our equity programs, our stock compensation expense as a percentage of revenue was 19.1% in Q1, down approximately 100 basis points from the prior year and approximately 40 basis points after excluding the impact of restructuring in Q1 of fiscal 2025. On a 2-year basis, stock compensation expense as a percentage of revenue was down approximately 200 basis points from 21.1% in Q1 of fiscal 2024, excluding the impact of restructuring, reflecting continued focus on using equity compensation efficiently and managing dilution. Non-GAAP diluted EPS for Q1 was $0.90, an $0.08 per share improvement from $0.82 last year. GAAP diluted EPS for Q1 was $0.34 versus $0.16 last year. Diluted weighted shares outstanding for Q1 was 212.8 million, in line with our expectations. Basic shares outstanding for Q1 decreased by $2.6 million year-over-year to 203.3 million total shares, reflecting the anti-dilutive impact of our buyback program. With that, let me turn to guidance. We expect total revenue between $777 million and $781 million in Q2 or a 6% year-over-year increase at the midpoint and between $3.151 billion and $3.163 billion for fiscal 2026, also a 6% year-over-year increase at the midpoint. We expect subscription revenue of $760 million to $764 million in Q2 or a 6% year-over-year increase at the midpoint and $3.083 billion to $3.095 billion for fiscal 2026 or a 6.5% year-over-year increase at the midpoint. We expect billings between $757 million to $767 million in Q2 or a 5% year-over-year growth rate at the midpoint and between $3.285 billion to $3.339 billion for fiscal 2026 or a 6.5% year-over-year growth rate at the midpoint. Our updated top line guidance reflects the following dynamics present in our business and the external environment. For full year revenue, the annual guidance midpoint is increasing by $22 million, reflecting the combination of Q1 strength and an anticipated neutral rather than a negative year-over-year FX impact, partially offset by some headwind from additional bookings prudence for the economic environment. For full year billings, the annual guidance midpoint is declining by $15 million, which includes additional early renewal considerations and some conservatism in our bookings outlook, partially offset by the positive impact from favorable year-over-year FX rates. While we do not see any material macro impact on our Q1 results, we are taking a cautious approach for the remainder of fiscal 2026 given the uncertain economic environment. For early renewals, we are including a more conservative forecast to account for a wider range of potential timing and magnitude impacts. This change has nearly 0 impact on our revenue forecast as it is based on the timing of renewal contracts and is not related to customer demand. As shown in recent quarters and years, billings are highly sensitive to customer renewal timing, which can result in meaningful variability from period to period. As we evaluate our updated fiscal 2026 billings guidance, we remain encouraged that we continue to forecast a year-over-year billings acceleration in fiscal 2026 after adjusting for the timing of early renewals and FX. We also expect year-over-year billings growth to increase in the second half of fiscal 2026 versus the first half as IAM deal volume continues to ramp. For profitability, we expect non-GAAP gross margin between 80.5% to 81.5% for Q2 and between 80.7% and 81.7% for fiscal 2026. We expect non-GAAP operating margin between 26.5% to 27.5% for Q2 and 27.8% to 28.8% for fiscal 2026, unchanged for the full year. We included the following 2 considerations in our non-GAAP profitability guidance. For gross margins, for the full year, we continue to expect approximately 1 percentage point of headwind due to the ongoing cloud data center migration efforts. That headwind was lower in Q1 due to a slight shift in migration timing out to the remainder of fiscal 2026. As previously discussed, we anticipate a larger gross margin impact from migration in fiscal 2026 followed by a gradual easing in fiscal 2027 and beyond. For operating margins for the full year, we continue to expect an approximate 1.5 percentage point operating margin headwind due to the impact of cloud migration, the shift of some roles to cash compensation from equity and the comp against onetime professional fees from Q2 of 2025. Q2 is our hardest comparison quarter this year. The majority of the difference between Q2 of 2026 and Q2 2025 operating margins can be attributed to the onetime benefits from professional fees, including the insurance reimbursement and litigation reserve release described in the Q2 2025 results, the ongoing cloud migration impact and the equity to cash compensation changes. Our overall approach to profitability in fiscal 2026 reflects our intent to prioritize IAM investments to drive long-term growth while maintaining similar levels of full year operating margins realized in fiscal 2025, excluding the unique gross margin and operating expense headwinds noted above. We remain encouraged about our longer-term opportunity to improve operating leverage by combining our approach to efficiency with an improved and accelerating outlook for billings growth exiting fiscal 2026. We continue to expect non-GAAP fully diluted weighted average shares outstanding of 210 million to 215 million for both Q2 and fiscal 2026. In closing, in Q1, we continued DocuSign's transformation by delivering significantly increased innovation to customers, driving business momentum through IAM adoption and digital maturity and positioning our go-to-market team for greater long-term contribution. We also maintained our efficiency focus through improved profitability and strengthen our commitment to generate significant cash flow and return capital opportunistically through buybacks. We have strong conviction in our strategy and ability to execute, and we will continue to focus on increasing the value we deliver to customers, employees and shareholders. Thank you for your support. This concludes our prepared remarks. With that, operator, let's open the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Jake Roberge with William Blair.
Jacob Roberge: Can you just double-click on the go-to-market transition and what exactly is driving the lower early renewals? And then it sounds like normalized billings growth would have come in at the high end of the range. But if we flash back to Q3 and Q4 of last year, there were some fairly healthy beats to guidance. So can you help us understand that delta and whether there was anything else that impacted the quarter?
Allan C. Thygesen: Yes. Why don't I take the first part of that, and you can do the second, Blake. So we made some changes at the beginning of the first quarter to our compensation to encourage reps to close deals in quarter. We felt that, that was the healthiest dynamic unless there is a customer reason for booking the deal early. We thought that, that would play out during the course of the year and ended up happening predominantly here in Q1. And so that's what accounts for the early renewals miss relative to our forecast. I think those were the right changes. We want to set our sales reps up to focus on long-term success on building their portfolios with IAM. And we feel that, that's now landed very well. The sales reps are behaving as we expected. And so it's on us to have missed the forecast slightly on that, and that accounts for the early renewals miss. But overall, the business is on very healthy foundation. I think the IAM progress is very substantial this quarter, and we are maintaining or increasing our revenue outlook. With that, let me go to Blake.
Blake Jeffrey Grayson: Sure. Thanks, Jake, for the question. With regards to the questions about a normalized Q1 relative to the prior quarters, I think you brought up Q3 and Q4. So just with regards to Q1, business fundamentals remain strong. Like I mean, like Allan just said, IAM continue to ramp Q1 direct deal volume for IAM was larger than Q4. That's not something we would normally see in our business just because of seasonality. And that's direct only. I'm not including the nearly 1,000 new self-service IAM customers we added, which is great. You heard in the prepared remarks, consumption and usage growth just as consistent and positive year-over-year, which we're really happy about. Dollar net retention improved just slightly for us, flat quarter-to-quarter on a non-rounded basis, up just slightly. I would say that on expansion and gross retention, both were up year-over-year. We think we can do a little bit better there. But as far as like Q1 goes, especially if you're comparing it to Q3 and Q4, make sure to go back and look at the details that we talked about in those quarters because in the second half of '25, early renewals were a tailwind, particularly for us in both of those quarters. So trying to compare like beat magnitudes and such against those quarters in particular, you really -- I just really advise you to go back and take a look at those numbers kind of normalized for that timing component of early renewals.
Allan C. Thygesen: Yes. Maybe just to complement what Blake just said, if you take both the FX and the early renewals part out and you look at our time series of our billings, we're past the trough last year and have a nice acceleration this year in our outlook. And that's what reflects our confidence in the business and the momentum at IAM.
Jacob Roberge: Okay. That's helpful. And then, Allan, I understand the moving pieces around the go-to-market and early renewals. But how do you feel about the broader health of the business? Do you still feel like that IAM upsell opportunity is intact and then that retention and expansion? I understand it might have been a little bit softer than you would have expected this quarter, but should that continue to improve from here? Or is there anything else in the quarter that would give you pause on that trajectory back to double-digit growth?
Allan C. Thygesen: No, I think we feel really good about where I am sitting. We've demonstrated product market fit in the commercial segment, and that sales motion has now been replicated from our domestic business to our international business. We're seeing great adoption. We mentioned some trends on the prepared remarks there. So overall, I feel really good about where IAM is sitting. And of course, our core signed business remains very, very healthy. We've got improving DNR overall in the business and fundamental consumption metrics and contract utilization are also improving. And so overall, I think we're sitting on a very good trajectory. You can feel the optimism inside the company with the sales teams. We did make some changes here at the beginning of the year that are necessary to set us up on the right -- for the right medium- to long-term growth, but perhaps introduce a little bit of disruption. I think that's past us now, and we're seeing good trends into May. So I think we're feeling very good about where things are sitting.
Operator: Our next question comes from the line of Tyler Radke with Citi.
Tyler Maverick Radke: Can certainly understand the billings dynamic, particularly coming off of Q4. But I guess one of the questions we're getting from other investors is really around your confidence level in the second half. If we take your commentary, it sort of implies a kind of continual ramp in billings growth from this Q1 level. So I guess, can you just give us a sense for what you've assumed in that ramp as it relates to early renewals? And then specifically around maybe the enterprise contribution from go-to-market and IAM, I imagine those are going to be even greater factors as you go into Q3, Q4. But just help us understand why this new guidance that implies an acceleration is derisked in your view?
Allan C. Thygesen: First of all, we were always assuming an acceleration in the second half, and that remains the case as you observed. In terms of the factors you pointed to, we snapped to a lower level of early renewals here in Q1, and we're expecting that to be maintained throughout the remainder of the year. That feels like a very good assumption based on what we're seeing. In terms of the enterprise stuff, part of the reason that we have a lot of confidence in our forecast looking forward is because we've already demonstrated that we can replicate our commercial motion, and that's the bulk of the forecast. We are counting on a little bit from the enterprise. I think that's well within our grasp. And then a bigger contribution from enterprise out in fiscal '27 and beyond. So there isn't an assumption that we're going to see some dramatic acceleration in our enterprise business in the second half. It's really more just the rolling out and scaling of our commercial business globally that drives that.
Blake Jeffrey Grayson: And then I'd just add one note to your question, Tyler, on the renewal assumption. We do -- we have put in a little bit more room to operate on the timing of renewals. And that's really -- it's important to recognize that, that's just timing. There's not an impact on revenue from that assumption. There's not an impact on customer demand from that. But just in light of the environment, I think it's a good idea to have a little bit more room there because especially when it's timing and not related to the health of the revenue kind of profile of the business.
Tyler Maverick Radke: Great. And for a follow-up question, I appreciate the comments on the consumption trend in May, which seemed to suggest things are healthy and really across all verticals. But do you -- are you hearing from customers sort of a desire to contract envelopes maybe a bit closer to their underlying consumption than they previously were just given the macro environment and tariff environment seems to be changing on a daily basis? Is that sort of calculus change for customers? And is that something you've contemplated in the guidance?
Allan C. Thygesen: Yes. No, we haven't seen that. We saw some of that coming off COVID, but that's been played out and is reflected in all the historical numbers at this point. So no, macro really was not a material factor. Maybe there's a few anecdotes here and there, but nothing that we've seen so far. That said, I think all CEOs and CFOs are slightly apprehensive about an environment that just feels more volatile and risky. And so we gave ourselves just a little bit more buffer, as Blake alluded to. But in terms of looking backwards, it was not material in Q1.
Operator: Our next question comes from the line of Rob Owens with Piper Sandler.
Robbie David Owens: And I guess as you -- just following on that last thread, some of the billings, I guess, lowering that you took as a function of the uncertain economic environment, that's purely a function of timing and not necessarily a function of size of deals as well.
Allan C. Thygesen: Yes. No, I don't think we've seen anything on the size of deals. I mean you can see, I think we report our customers over 300,000, which were up year-on-year. And we continue to seek help there. That hasn't been an issue. And that's also reflected in some of the consumption stats we hold across customer size segments and industries.
Robbie David Owens: Okay. Perfect. And then our understanding as we lean in a little more aggressively this year, which didn't come to fruition in the first quarter. And I understand the commentary around the timing of some of the cloud migration efforts. Anything else at play? And you did talk about increasing sales capacity without expanding the team. Is that something that you're factoring into the calculus here or something that could lend to upside just in terms of repurposing a lot of that existing sales force?
Allan C. Thygesen: We're not counting on that, but I certainly hope so that over time, that sales capacity will translate into more bookings and billings and revenue. Maybe just -- let me just touch quickly on some of the changes that we made at the beginning of the year to set ourselves up for long-term success. We -- besides the early renewals piece, which really was a minor element of the changes that we made, big changes were we really wanted our sales reps to be able to focus more time to go deeper and sell more broadly into organizations that represented the biggest growth opportunity. And so we resegmented and changed the portfolios for our sellers and moved a substantial number of customers to a self-serve first model. And so that freed up capacity in effect without additional headcount to let our reps go deeper. We also changed our sales compensation model to emphasize more annualized models and emphasize IAM and so on. And so there were a lot of levers pulled to set ourselves up for, shall we say, a larger deal, more enterprise type of sales motion. That will be a long journey for the company. And -- but we've begun it. I'm very pleased with the early results and how the sales teams are responding to that. And we're feeling like that those were the right changes to make to set us up to really capture the full potential of IAM.
Operator: Our next question comes from the line of Josh Baer with Morgan Stanley.
Joshua Phillip Baer: I was hoping you could provide some context for how much of the double-digit percentage that will be IAM as a percentage of subscription book of business is coming from upsell and net new customers versus that transition from eSignature. Just any context for how accretive or incremental IAM is on the business?
Allan C. Thygesen: Why don't you take that one, Blake?
Blake Jeffrey Grayson: Sure. So we're not disclosing expansion rates like that. Obviously, with the book of business that we have with the size of it, $3 billion plus, we have a huge opportunity to be able to provide extra value to our existing customers. So I think that existing installed base, and that is an upsell from what they're doing today because if you recall, the vast, vast majority of the IAM deals that we're doing are expansions of spend because we're providing additional value to customers. But also, we're finding that new customers also are quite interested in it. And it's becoming a much, much larger share of our new deals, our new company deals that we're doing. So it's going to come from both of these things, but I think that it's fair to assume that with the size of the installed base that we currently have, the biggest opportunity we have is with customers that we already do business with.
Joshua Phillip Baer: Okay. That's helpful. And Blake, you called out some smaller nonrecurring items benefiting revenue. Just was wondering what are those and how big was that?
Blake Jeffrey Grayson: Yes, sure. So we had a number of what I'll call just smaller items that we just don't feel like we can count on them necessarily as recurring every quarter. They can. We just aren't including that in the guidance. They include things like short-term add-on deals where somebody comes in for a very short period of time for additional capacity, lower sales returns, lower bad debt. Those went almost all in our favor in Q1 in the revenue side. Now they're not massive. They're not a huge portion of it. But when you add them up, they help the quarter. But all good things, all positive elements for us for Q1.
Operator: Our next question comes from the line of Brad Sills with Bank of America.
Bradley Hartwell Sills: Allan, I wanted to ask a question on the go-to-market changes here. I mean with the focus on going deeper and more broadly within accounts now, what are you seeing? I know it's early, but is there anything in the pipeline that you'd point to, to say that the leading indicators are there and you're seeing some of the early results that you might expect out of that?
Allan C. Thygesen: Yes. We are definitely doing larger and larger IAM deals, and we've had some early successes in the enterprise space. So I feel pretty good about the momentum. But as I said, it is still early. We think in the long run, this has the potential to really materially change how much value we're able to deliver to customers and therefore, how much they're willing to pay us on a recurring basis. So all the signs on the IAM front in terms of both deal velocity and deal value progress in various customer segments and geographies, all are positive so far.
Bradley Hartwell Sills: Wonderful. And then one more, if I may, on some of the new features you alluded to with IAM coming in August. Anything that you'd point to in particular that you're excited about? I know you probably don't want to let the cat out of the bag too much, but maybe just some broad strokes on what's coming in August that could perhaps be a catalyst in the IAM business.
Allan C. Thygesen: Well, we've already announced what's coming in August. So we -- at our Momentum event in April, we previewed our road map. We -- just as an indication of the scale of the innovation momentum, when we launched IAM last year, I would say there were really 3 pieces of anchor functionality that were materially net new besides the refresh on the existing products. And I'd say we did 7 announcements of comparable magnitude here at Momentum in April. Some of those were immediately available and some of those are rolling out here over the next 3 to 4 months. I don't think there's any one thing that I would highlight, but maybe I'll talk about 3 very quickly. On the front end of creating agreements, we have agreement desk, which is essentially a system for managing the flow of contracts inside of a company. Imagine sales reps and legal instead of today, which is a series of uncorrelated and unconnected e-mails, but nobody knows what the status is, is essentially a hub for managing that workflow that integrates with the tools you already have. That was extremely well received at the event. On the execution side, we announced something called Workspaces. Today, if you're trying to do a multistage financial transaction, let's say, signing up for wealth management or a real estate transaction or an auto purchase or anything like that, it tends to again be a series of disconnected interactions between the company and an outside party, a consumer and another company. We've created a single destination where all of that activity can happen with multiple parties. That's really an earthquake in that space and very, very well suited, of course, for financial services, but also for a whole host of other categories. And then I'd say on managing your contracts after execution, one of the things that we showed that's a very, should we say, AI-centric feature and that really wouldn't have been possible even a year or 2 ago is something we call custom extractions, which essentially lets you -- besides all the standard extractions like the names of the parties or the terms, now you can define any arbitrary term you're interested in, point us to a couple of agreements that those terms are present in the relevant language. The AI will essentially learn off that and then allow you to find that across your population of agreements. So that creates sort of an infinite flexibility in what you can look for in your agreements, which is something that pretty much all companies have asked us for, for a long time, and we're finally able to deliver it in a really scalable lightweight, delightful way. So those are just 3 examples of contract innovation at all stages of the journey. And I think there was a lot of excitement at the event, and we're excited about bringing those features to market globally.
Operator: Our next question comes from the line of Kirk Materne with Evercore ISI.
Kirk Materne: Allan, I was wondering, can you expand a little bit on your commentary around your GSI partners. I was just kind of curious whether they could be a source of sort of net new ACV for you this year. I realize it could take a while for them to build up practices. But can you just talk about sort of where you are with them? And what's the hope of them helping pull you into the enterprise perhaps a little bit more and then really helping to be a driver of new pipeline for you all?
Allan C. Thygesen: Yes. Yes. So historically, we haven't had a huge relationship with SIs because it's been primarily about our CLM business, right? Sign was so simple and easy to deploy for companies that there wasn't a lot of need for the kind of value-add services that SIs provide. But with IAM, that's really changing the picture and across really all of DocuSign. And so -- and at the same time, this is an area where the SIs do a tremendous amount of work already. They pretty much all have large practice areas in digital transformation that includes or is focused specifically on the agreement space and haven't had a platform to build those practices on top of. So we see a lot of inbound interest from the big names in the industry. I would rate us as relatively immature in really being able to fully dance with the big SIs right now, but we are ramping up a lot of -- as I said, a lot of interest. We know how critical that is to unlock the full potential in the enterprise. And they are very keen to partner with us as a well-trusted, well-respected brand that I think has the most complete and compelling vision and agreements. And so -- but we have growing to do to fully capitalize on what the GSIs represent. So that's a big focus of mine and Paula's. We hired a fantastic new leader for our partner organizations, very strong in that area. And so it's a top priority for us over the next couple of years to really build out our GSI partnerships.
Kirk Materne: Okay. Great. And then, Blake, sorry if I missed this, I think you said in your prepared commentary, but the upside on margins this quarter was partially due to some of the duplication of cloud costs going away earlier. Can you just remind me sort of on some of the upside levers on margin this quarter relative to your guide?
Blake Jeffrey Grayson: Sure. The biggest component that drove operating margin outperformance was the revenue outperformance on the top line, right? We don't have like a ton of variable cost in this business so that when we outperform on the top line, we usually have the advantage that it can fall to the bottom line, which it did for us. And that's the majority of the op margin side. On the cloud migration component, we just had a little bit of timing push from Q1 and then out into kind of Q2 and Q3, and you can see that reflected in our guide. That happens from time to time, nothing to concern of or anything like that, but that was the other component of the op margin outperformance.
Operator: Our next question comes from the line of Brent Thillman with Jefferies.
Brent John Thill: Just on the sales change, I mean, we've all witnessed the last couple of decades sales changes in Q1. They have their impact. And I think everyone is just curious, is this -- I know you said it's going to take time, but do you think this is -- was this a massive overhaul? Was it a tweak? Do you think it's a 6-month digestion? Do you think it's a 9-month? I mean how do you gauge the magnitude and the duration of how long this takes to settle in?
Allan C. Thygesen: I think we feel pretty good about this settle in, and we're already seeing stabilization and normalization here early in Q2. So I'm pretty optimistic. Let me just start with, I think, the overall piece, which is we really wanted to set ourselves up with the right long-term decision to maximize our opportunity and value here. And so when you -- when you do that, you have to be willing to encounter just a little bit of turbulence in the short run. We've shown a pattern of doing that. You may recall, we had some difficult decisions in Q1 of the last couple of years. And we're just trying to set ourselves up for the right long-term health. I'm very pleased with where it's going. I'd say that if you think about where the adjustments play out, the commercial segment can adjust very quickly, right? You get people new books, but the sales cycle is short enough, and it's a higher volume, more repetitive motion. So they were able to get there very quickly. It takes a little longer in our enterprise segment, which we're building relationships over a more extended period of time, but I'm feeling like that the team is really settling in and just the quality and scale and pipeline that, that team is generating is picking up. And we were, in any event, always going to be building our enterprise business during the course of the year. So I'm feeling pretty good. We did throw a lot of levers. I put it at sort of a -- as I said, I think on the last earnings call, sort of a medium-sized change and very carefully planned and considered. And it's sort of ironic that one of these smaller things that really weren't the core strategic focus ended up tripping us up a little bit on the billing side. But yes, that's really a timing issue and not something that plays to the long-term health or strength of the business. So I'm feeling great about the changes we made, how they've settled in and how they set us up.
Brent John Thill: Okay. And for Blake, just the number of 300,000-plus customers were down quarter-on-quarter. Is that just seasonal? Or is there anything else to read into that?
Blake Jeffrey Grayson: Yes. Thanks, Brent. Yes, it's mostly seasonal. You'll see that occur. I think the biggest thing that I tend to look at is just on that year- over-year side growing. And you also heard us and it's a small component today, obviously, but low single-digit share of those larger customers starting to use IAM, again, while it's a super small chunk of it, I'm excited about the opportunity that we have there over the long term. It's going to take time, but that was exciting for me to see just the very early beginnings of our penetration there.
Operator: Our next question comes from the line of Patrick Walravens with Citizens JMP.
Patrick D. Walravens: Great. Thanks for all the detail on this. I'm going to ask one more, if it's all right. So when did you know that billings would come in below where you had guided?
Allan C. Thygesen: Why don't I start and then you can jump in. So look, early billings almost definitionally happened very late in the quarter. And so we didn't really have good visibility on it until the last couple of weeks. And so that was not something we had perfectly foreseen or we would obviously have previewed it at the beginning of the quarter because it is such a timing-sensitive thing that comes together in the last couple of weeks or even in the last couple of days. I don't know, Blake, if you want to add to that.
Blake Jeffrey Grayson: No. I mean I just reinforce like the vast -- just so everybody knows, the vast majority of our early renewals very consistently comes in the last 2 weeks of the quarter. And so there is volatility that's why you'll hear us talk about the timing of these billings based on start dates and close dates, it can cause a lot of volatility in the number. And so that's the component here. What I regret from the work that we've done is we forecasted the timing impact later than Q1 and it occurred in Q1. Everybody is operating as the way we had planned, right? Like the way the plan is designed, like Allan said, we're really happy with how this is working out. From a forecasting perspective, and I and the leadership team own this, is that we forecasted it to occur later than Q1 and it happened in Q1. Now at the end of the day, that's just timing. It doesn't affect the health of the business. It doesn't affect revenue. It's not an indication of demand. And so from a business perspective, it's kind of -- I don't want to call it a nonevent, but it doesn't affect the health of the business. So I'm really excited about that.
Allan C. Thygesen: Yes, we saw the right kind of productive changes in our earnings mix, more of them being accretive and so on. And so that's exactly the changes we're looking for. Go ahead. I'm sorry, go ahead.
Patrick D. Walravens: And then as a follow-up, if I could ask a little bigger picture. So Allan, what are you seeing competitively? How do you feel about that? And then I'm sure everyone saw that Dan ended up at Ironclad. So maybe if you can comment on if that's a competitor and where it's in, that would be great.
Allan C. Thygesen: I think in terms of our -- the legacy markets, if you will, that we operate in, I see very little change in the competitive dynamics. I think the sign shares and competitors have been stable. If anything, I think we're maybe doing a little bit better. The CLM space continues to be quite competitive, a number of players, and it's a small category overall, but we are -- I think we're holding our own, but it's definitely competitive. In terms of our rearticulation and revisioning of the company, I think we're really setting the pace. But as we've expanded our ambitions, not only are we seeing, of course, some of the players that have competed with us in existing categories, but running into other potential competitors. But overall, I think we're setting the pace and becoming much more of a thought leader for the agreement space more holistically. And I think it's really about our execution right now. I'm not as focused on competition as perhaps in our past discussions as we have the more mature e-sign category.
Operator: Our next question comes from the line of Scott Berg with Needham & Company.
Ian Black: This is Ian Black on for Scott Berg. Does the release of your new transitional IAM SKU impact your renewals? And how has that SKU affected your go-to-market motion?
Blake Jeffrey Grayson: Yes. I would say the transitional SKU is immaterial to the results for us for the quarter. We would have highlighted that if that was there. It's really meant -- it's an option for customers. We want to make sure that they have the right options available to them, but it wasn't an impact for us for the quarter.
Ian Black: And how has that SKU impacted your guys' go-to-market motion?
Blake Jeffrey Grayson: It's not -- I mean -- and you could say it's included in the guidance that we have, but the impact we think is going to be relatively small.
Operator: Our next question comes from the line of Alex Zukin with Wolfe Research.
Arsenije Edward Matovic: This is Arsenije on for Alex. I guess just what's holding you guys back from excluding early renewals from that updated guidance given the dynamic in Q1? And can you just walk us through how much early renewals are assumed now versus last year when guidance was initially provided and why it's viewed as conservative? And just a quick follow-up after that.
Blake Jeffrey Grayson: Sure. So we don't break out our book of renewals based on, on time, early, late. There's just a whole host of different ways you can think about that. Early renewals, just as an education, if folks -- some folks don't know or not, is a very regular and recurring part of our business. It is something that in the majority of cases come with expansion. And so you like that because that means that customers are either needing more capacity, want more features, all those types of things. So it's not something where -- I don't want anybody to think like an early renewal is like a bad renewal by any sense of measure because that's one of the things we really like is that when customers are consuming more than they had planned or they had originally thought. A lot of times, that means they want to get more from us as well. Obviously, the conservatism in the early renewal component in the forecast, which is timing, I think you heard in the prepared remarks, you've got the impact from FX and then we have 2 different kind of positive impact from FX, 2 different offsetting impacts. They're both worth about the same size, whether it's the early renewal component, giving us a little bit more room to operate on the issue of timing and then a little bit more conservatism around the bookings just based on the uncertainty in the environment, and we think that's the prudent thing to do as we look out today.
Arsenije Edward Matovic: Got it. That's helpful. And then just looking at IAM pricing today, it seems to have gone up since last quarter without having that lower price point relative to like eSig Business Pro. Is this indicative of you just seeing better adoption than expected and trying to capture more value with this momentum to get better growth?
Allan C. Thygesen: No. Look, I think we feel we're delivering a lot more value, and we charge a premium and customers have been willing to pay that across all size segments. So...
Blake Jeffrey Grayson: And we're adding features along the way.
Allan C. Thygesen: And the packages are becoming more valuable and with all that we announced here at the Momentum, there's a lot more there across every segment.
Operator: Our next question comes from the line of Michael Turrin with Wells Fargo.
Michael James Turrin: Blake, there's been a lot of questions on the impact, but you mentioned the health of early renewals in Q1 improved. Can you unpack that piece a bit more? What were you seeing last year? Was that customers renewing smaller in certain instances and as I am something that you now have in response? Or what else are you doing to continue to improve the health of those renewals going forward?
Blake Jeffrey Grayson: Yes. Thanks, and thanks for the question, too. I think what we got from the go-to-market changes that we made was that -- so the renewals happen to as you can have expansion or you can have a flat renewal or you can have an early renewal with partial churn. For those renewals that are flat or have partial churn, you actually prefer to renew them in their kind of natural renewal cycle timing. So you call it their on-time contract date. Now there's a bunch of different reasons why customers may want to do a flat renewal with high capacity or consumption. Maybe they don't want an expansion, but they need a new renewal. So flat could be good in those ways. But the big difference what we saw on a year-over-year basis in that mix percentage I shared in the prepared remarks is that the mix of flat and partial churn renewals dropped 30% year-over-year. And so that's the data point that you hear from us at least for me, when I think about, oh, those are working the way that was intended and that you're seeing a larger mix than shifting to those earlies with expansion rather than some that also have some more partial churn in them. And partial churn renewals happen, right? Not every customer expands with you when they renew. And so that was really when I'm talking about the health of the renewals, it's a larger focus on those flat to renewals with expansion that really drive the health of the business forward.
Michael James Turrin: And just as a small follow-up. We've seen the pros and cons of early renewal impacts on billings. So did you consider ARR as a substitute for billings at all? Or what from your perspective makes billings the right metric to focus us all in on given some of the puts and takes and questions you're feeling here?
Blake Jeffrey Grayson: Yes. No, it's a great question, and it's something that we talk about a lot. Billings is clearly not ideal because of the impact of timing, right? In this quarter and the past couple of quarters, actually, the way we handle that is we try to be really clear about that. So when it's a tailwind and it provides kind of that extra growth for us, we are trying to be very clear and transparent with folks about that. And I think we did a good job of that in the second half of last year where we had that tailwind, and we're sure to highlight it. It's also part of the reason why we're talking about IAM as a percentage of recurring revenue and book of business and not billings. What I can just say is we're actively thinking about better ways to communicate our business trends and be more thoughtful, but really consider kind of like the long-term evolution of this business, especially with IAM, which is still early. So I would say I recognize it, and so stay tuned on that.
Operator: Our next question comes from the line of Will Power with Baird.
William Verity Power: Okay. Great. Maybe just shifting gears a little bit. I mean you all noted the strong consumption trends in the quarter. I think even indicated -- some of the indicators that were as strong as they've been in a couple of years. Maybe anything you can do to kind of unpack kind of the drivers there and kind of the outlook for consumption as you move forward here?
Blake Jeffrey Grayson: Yes. I mean I'll take a stab at this. I would say it's pretty challenging to disentangle exactly what that means other than the fact that I think higher consumption, higher usage is almost always a good thing for us. With the trickiness in there and disentangling is, do you have people that are potentially running higher to their limit for something that's going on in their business. But almost always, if people are using more of their contracts than they have previously, that's a good thing. And so I think it just bodes well for us. But the timing and the tipping point to move from contract utilization to a new contract is really an independent kind of decision that each customer makes on their own in kind of operating with their own representative from DocuSign. But nothing else more that I've seen within the data. I think that the usage trends still continue to look good for us from a year-over-year perspective. We highlighted that's continued in May. It's been very, very consistent for us, I would say, over the past few quarters, which I think has been great. And I believe, based on that data, it bodes well for us.
Allan C. Thygesen: Yes. I would just add that, look, one of the things I was very pleased to see is that I think Blake called this out in his prepared remarks, I think we hit like a 4-year high in contract consumption. So we're really through that full post-COVID cycle and at a pretty healthy point there. And so I think that bodes well for the future. So it makes me at the margin more optimistic.
William Verity Power: Yes. Those trends seem positive. My other question is just on gross retention. I think you all indicated you expected that to improve in the second half of the year. I just hope you could provide some additional color as to kind of the key drivers and the confidence level around that.
Blake Jeffrey Grayson: Yes. So for us in gross retention, we improved year-over-year in Q1. We expect that trend to continue for the remainder of the year. It's a trend that's been going on here, I would say, at least for the last 18 months. And we're really excited about that. It's working better with our customers, talking -- getting in front of deal renewal timings, looking at their usage, looking at the types of usage that they can have with us and having those conversations, having conversations as well about IAM and having those discussions as well. And so it's just a continuation of a trend of better results for us that we're excited about.
Operator: Our next question comes from the line of Mark Murphy with JPMorgan.
Mark Ronald Murphy: Just curious if you can speak to the activity levels that you're seeing from segments of the economy that might be slowing or could slow in the second half due to interest rates or tariffs. And I'm thinking of real estate, construction, manufacturing, the tech industry has had layoffs, consumer goods, et cetera. In understanding that you didn't seem to see any aggregate change or material change in macro. But is there any bifurcation where those industries are slowing and other industries are picking up or just anything you're noticing that looks any different?
Blake Jeffrey Grayson: Sure. I'll take a stab at this. So I would say the trends have been relatively consistent for us over the last few quarters, like on a usage kind of basis, the same verticals continue to show strength for us, whether that's financial services, health care, insurance, those have been kind of standout ones for us. I would say real estate continues to grow year-over-year, but less than the total, if you will. And that's been pretty consistent as well. So they're still growing. I just think there's room to improve there over time depending on how everything works out, but no massive volatility over the last quarter in any major segment.
Mark Ronald Murphy: Okay. And Blake, as a quick follow-up, you had commented that the Q1 billings delta is a function of timing, not demand. Actually, I guess Allan said that. But that being the case, I'm curious why the renewals could have bounce back rather automatically in Q2. In other words, if non-early renewals just become regular old on-time renewals? And then if that happened, why couldn't that produce a slightly better level of Q2 billings growth than what you're guiding to?
Blake Jeffrey Grayson: Yes, that's a great question, right? Because in general, lower early than a quarter results in higher on-time renewals in future quarters. Not all of our renewals are just 1 quarter out. Some are 1, 2, 3 or more than 4 quarters out depending on the customer. So you do have a partial offset from that kind of lower water level on future earlies contribution, which that's going to create hard comps year-over- year as you progress through the year. But the reason why you don't see that necessarily in our full year guidance is because of that we've also included the additional room to operate as we progress through the year. So that's just conservatism for us on the timing aspect and the magnitude of it. It makes sense to do that, especially when the extra conservatism is around timing, and it doesn't have a material effect on our revenue forecast, and that's why you don't see that showing back in the guide.
Allan C. Thygesen: Okay, everyone. Thank you, operator. Thank you to all who joined today's call. In closing, I just want to emphasize how excited we are about the increased pace of innovation at DocuSign, the value we're delivering to customers and the long-term decision-making we're doing to realize the large IAM opportunity. Thanks to the team for their energy and focus and to our owners for your ongoing support. Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.